Leslie Gahagan - Synchronoss Technologies, Inc.: Good morning, everyone. I am Leslie Gahagan, Investor Relations Analyst for Synchronoss Technologies. Welcome to our Second Quarter 2020 Earnings Call. Joining me here is Synchronoss' President and CEO, Glenn Lurie; David Clark, our Chief Financial Officer; and Joe Crivelli, Senior Vice President of Investor Relations. During today's call, we will make statements about expectations for the second half of 2020 and beyond. These may be considered forward-looking statements within the meaning of federal securities laws and include statements about financial trends, future results of operations and financial position, and market opportunities. Generally, forward-looking statements are identified by words such as expects, believes, anticipates, intends, and other indications of future expectations. Forward-looking statements are based on the business environment as we currently see it, and include risks and uncertainty. Please refer to our SEC filings for more information on the risk factors that may cause actual results to differ. Forward-looking statements on this call are based on assumptions as of today, and we undertake no obligation to update these statements as a result of new information or future events. In addition to US GAAP reporting, we report certain financial measures that do not conform to GAAP. We believe these non-GAAP measures enhance the understanding of our performance. Reconciliation of the GAAP measures to their non-GAAP measures, in addition to the description of the non-GAAP measures, can be found in today's earnings press release. Finally, during the Q&A session, please submit questions in the chat function located at the bottom of the screen. Thank you again for joining us today, and I'll now turn the call over to Glenn Lurie.
Glenn Lurie - Synchronoss Technologies, Inc.: Thanks, Leslie, and thank you, everybody, for joining us this morning. It's a big day for Synchronoss and a busy morning. Earlier this morning, we announced the renewal of a Verizon contract for an additional five years as well as earnings for the second quarter. I'll cover earnings first. As you can see, we continue to build on a momentum from the start of the year despite the most challenging economic environment of the last two decades. As COVID-19 continues to disrupt the economy, we delivered revenue of $76.5 million, an adjusted EBITDA of $11.5 million as well as $13 million in adjusted free cash flow, which all exceeded internal and external expectations. The robust EBITDA result brings us back to a double-digit EBITDA margin and reflects the prudent cost cutting we executed before and after the pandemic struck. Furthermore, liquidity continued to build and topped $42.8 million at the end of the quarter, up from $31 million at the end of the first quarter. Based on these financial results, it is clear that Synchronoss was able to perform and execute well during the quarter. We are responsibly navigating through the pandemic to maintain overall company health for the short and long term. The last two quarters are a testament to the diligence of the entire Synchronoss team, which had to adapt, evolve, and adjust to a work-from-home environment. Most of us have been working from home for over five months now as most of our offices remain closed. Despite this continued global challenge, we've been able to close and deliver new deals, source new business, and move the ball forward with customers and prospects alike. I want to give a shout-out to our technology team headed by our CTO, Pat Doran, which reacted quickly when COVID-19 first became an issue and made sure we had best-in-class business tools to maintain our business momentum and help our more than 1,500 employees transition to the new paradigm and remain productive. It is their hard work that has helped set the stage for the strong second quarter results we are discussing today. In addition, the execution of our cost reduction initiatives has gone well. We are on track to achieve the $45 million in-year cost savings and $55 million annualized cost savings we announced earlier this year. David will provide more commentary on this when he discusses our financials. I'd like to take a few moments now to discuss some key commercial activity in the quarter. I'm incredibly proud of the customer wins our sales team headed by our CCO, Jeff Miller, was able to achieve in the second quarter. This team has truly risen to the occasion to find new ways to reach customers despite a virtual work environment and critical industry events being canceled. Let me start with cloud. Now, let's turn to the Verizon deal. We secured a new commercial agreement with Verizon, including a five-year extension to our long-standing personal cloud relationship at substantially similar structure and financial terms to our previous cloud agreement. This is great for Synchronoss and its shareholders long term because of the increased certainty and stability. This new contract extension with our largest customer also demonstrates Verizon's commitment to the Verizon Cloud and to Synchronoss. This extension further solidifies our relationship with Verizon and shows the value they and their subscribers see in our Personal Cloud Platform, which delivers solid incremental revenue and profits for Verizon, and a better user experience for their subscribers. Another important component of our extension with Verizon is a joint marketing agreement to step up our marketing efforts to sell Verizon Cloud to their wireless subscriber base. We have not previously had, to this degree, a dedicated and coordinated direct marketing effort to Verizon's existing wireless customers. To-date, we are predominantly focused on the cloud adoption in the setup flow when Verizon is onboarding a new customer or an existing customer upgrade to their device. We believe this joint marketing effort will be powerful catalyst to drive adoption of Verizon Cloud, and deliver incremental growth and revenue for both us and Verizon as we move forward. We also expanded our relationship by securing additional cloud initiatives in the quarter that will augment Verizon's service offerings in other areas, which provides us with expanded access to Verizon customers and help us continue to grow cloud revenue. We will share additional details regarding these new initiatives as they are launched to the marketplace. Verizon Cloud's subscriber performance continued to grow during the quarter and is ahead of our business plan objectives and projections. Also, we delivered a family cloud enhancement offering that leverage artificial intelligence and machine learning to enhance the customer experience for Verizon subscribers during the quarter. So, to recap the developments with the Verizon relationship, we have extended our relationship with our largest and long-standing cloud customer. We are organically growing our collective subscriber base platform in the setup flow when new customers switch to Verizon or existing customers upgrade their devices. A new joint marketing agreement will enable us to intensify the marketing of our services to a broader Verizon customer base and have added new bundles with the potential to add even more Verizon Cloud subscribers. We are jointly developing and launching new product enhancements that will increase the value proposition for their customers. And we are working with Verizon on new cloud initiatives that will expand our access to Verizon customers beyond what we have today. We have always had a strong relationship with Verizon, but if there was ever a question about these facts, those developments should be put to bed once and for all. With this renewal, over the past 18 months, we have now renewed four of our legacy cloud customers with multiyear agreements: Verizon, BT – British Telecom, SFR, and Proximus. During that period, we've also launched three new customers in AT&T, TracFone and Assurant. Again, we feel this demonstrates the outstanding value proposition our white label personal cloud offering provides to our customers and to their subscribers. I want to highlight our progress with AT&T's Personal Cloud launch and provide an update on where we stand. Since during our Investor Day in June, we shared that the COVID-19 had delayed our cloud-related initiatives with Verizon. Starting earlier this quarter, AT&T announced a growing list of Android devices that are being preloaded with the Synchronoss Out of Box Experience, or OOBE, with the cloud embedded. OOBE offers an enhanced device setup flow for customers and, as you've heard us talk about, has been proven successful for driving cloud adoption, as seen with our other carrier customers globally. Now, every new and upgrade Android subscriber will go through the OOBE flow at AT&T. Regarding TracFone, we started with SIMPLE Mobile and are now preparing for the launch of the next set of brands within the TracFone family for Personal Cloud. Following our launch of Spectrum Mobile with Assurant, we have now launched a second brand with our cloud integration to their Pocket Geek application during the second quarter with two more cloud customers to follow. Across our Personal Cloud customers, we're launching targeted campaigns to their existing base of customers and new acquisitions, plus using new digital and social tools to highlight the customer experience and benefits of digitally protecting their assets on broadband and mobile devices. Turning to messaging, the work on our Advanced Messaging solution with CCMI joint venture of AT&T, Sprint, T-Mobile, and Verizon continues to move forward. During the quarter, we won two additional contracts with CCMI, totaling mid-seven figures. An example of our momentum in Japan during the quarter, the top financial institutions in Japan selected the RCS-based +Message service provided by Synchronoss to enable a common user interface for safe and secure transactions. The service called Airpost provides a digital transformation to enhance the experience, value, and efficiency for customers. Participating companies include Mitsubishi UFJ Bank, Musashino Bank, JCB, and Tokio Marine Nichido (sic) [Tokio Marine & Nichido]. More than 30 additional major companies are also investigating this application. This bodes well that the advent of A2P advanced messaging is here and that this new revenue source may be nearing an inflection point where we believe we can grow into a material new revenue stream for Synchronoss for years to come. We're also seeing continued good traction and additional Advanced Messaging pursuits, and are actively engaged in proposals with global telecom providers in APAC and EMEA for multiple new opportunities. We believe our status as the only company that has launched advanced messaging and the provider of advancements in technology in both Japan and the US will be one of those things that differentiates us in these pursuits. Turning to Core Messaging e-mail platform, during the quarter, we won a competitive battle for e-mail expansion with Proximus. This was a very nice win for our highly profitable legacy e-mail business. Moving to digital, the financial pressures of COVID-19 have presented continued opportunities to our Digital Access Management portfolio with most multiple recent new customer sales and the onboarding of customers to our integrated financial analytics, iNOW, and new spatial cloud offerings. These include a seven-figure financial analytics SaaS agreement with a nationwide service provider and a spatial management contract with Globe Telecom in the Philippines. We also executed a five-year contract extension with Sage Management, who is our partner providing audit services to our financial analytics customer base. We believe this commercial agreement will continue to contribute millions of dollars of revenue to our digital business unit per year and continue to add value to our financial analytics customers. Through our continued work with Wireless Advocates, we delivered the DXP Care Activation Accelerator Pack (12:45) in the second quarter, which enables the integration and management for third-party companies to sell activations for AT&T and Verizon, with T-Mobile expected to follow later this year. A quick update on Sequential Technologies or STI. Under the new leadership team, STI quickly completed its minority business enterprise certification, which we believe will lead to new Fortune 500 opportunities and future growth for both STI and Synchronoss. Turning to IoT. While access to physical customer locations due to the pandemic slowed some of our customer deployments, our Smart Buildings solutions are receiving increased interest from businesses as they prepare to return to work. As a result of COVID-19, every building owner and operator will be looking to understand real-time wellness and health information of their building. We plan to leverage our Smart Buildings platform, which already provides the visibility and control to a broad array of sensor technologies by exploring pathogen remediation solutions for inclusion in our offering. During the quarter, we enhanced our Smart Buildings solutions with the new technician application to further expediate the integration process for these sensors and providing visibility to those insights through our dashboards. We're also making steady progress in a number of multisite deployment opportunities, which we expect to communicate during the second half of the year. In conclusion, we are very happy with and very proud of our second quarter results, the team's execution and our ability during the quarter to overcome the extremely challenging COVID-19 economy and environment and delivering strong financial results. We renewed our largest customer to a five-year deal, won new deals, and set the stage for short- and long-term growth in each of our business platforms. And we delivered positive free cash flow of $13 million, built on our cash and liquidity to $42.8 million, and ensure that we have sufficient cash to execute on our business objectives, all while we continue on the target to reduce costs by $45 million in-year and $55 million on a annualized basis. This is a great accomplishment on the part of the entire Synchronoss team, and I thank every one of our employees for their role in making it happen. With that, David will provide additional financial details. David?
David D. Clark - Synchronoss Technologies, Inc.: Thanks, Glenn, and thanks, everyone, for joining us. I'll review our second quarter results. Revenue for the quarter was $76.5 million, down slightly compared to $77.8 million in year-ago quarter as increases in cloud, messaging revenue were offset by a decrease in digital revenue due to the new operating agreement with STI and the sun-setting of our Universal ID products. For the six months ended June 30, 2020, revenue was $154.1 million compared to $166 million in the first six months of 2019, again driven by a decrease in digital revenue. Our recurring revenue was 78.4% of total revenue in the second quarter compared with 72% in the first quarter and 80% in the second quarter a year ago. As we noted at Investor Day, approximately 85% of our revenue is under multiyear contracts, which provides strong foundation and base of revenue that has served us well in the COVID-19 economy. Cloud revenue was $42.4 million in the second quarter, a 5% increase compared to $40.4 million in the year-ago quarter, driven by additional subscriber and professional services revenues. A note on the Verizon renewal. Due to the extension of the contract, approximately $10 million of deferred revenue was on our balance sheet on the renewal date and would have been amortized over the remaining quarters in 2020 will now be amortized over the new term of the contract. While this reduced recognition of non-cash deferred revenue in 2020 by approximately $5 million per quarter or $10 million for the balance of the year, it will also result in a more cohesive match between EBITDA and free cash flow generation in the future on a quarter-by-quarter basis. Quarterly recognition of non-cash deferred revenue is expected to be negligible going forward. Messaging revenue was $19.1 million in the second quarter compared to $15.2 million in the year-ago quarter, a 25.7% increase, largely driven by the continued success in Japan and additional revenue from the work with the CCMI joint venture. Digital revenue was $15 million in the quarter compared to $22.2 million in the year-ago quarter. The decrease was due to lower revenue from STI under the new operating agreement compared to the agreement that was in place last year and the sun-setting of our Universal ID product. I'll now discuss profitability metrics. Total costs and expenses were $88 million in the second quarter, down 8.4% compared to $96.1 million in last year's second quarter. For the six month, total costs and expenses were $182.4 million and that's down 10.9% compared to $204.6 million in the first six of 2019. For both the three-month and the six-month period, the change was largely driven by lower cost of goods sold and lower depreciation, which in turn related to our migration from company-owned data centers to the cloud. These were offset by higher restructuring charges in the current period. The reduction in total costs and expenses reflects the cost reduction initiatives we executed in 2020 that are delivering the expected results. As noted in the prior earnings call and at Investor Day, in total, we have targeted a reduction of $55 million in annual operating cost from our expense base, of which we expect to realize approximately $45 million of savings in 2020. Adjusted gross profit in the second quarter was $47.9 million compared to $45.1 million in last year's second quarter. Adjusted gross margin in the second quarter was 62.6% compared to 57.9% in last year's second quarter. The second quarter improvement in gross profit and gross margin was due to better cost management in this year's period. For the six months ended June 30, 2020, gross profit was $90.4 million compared to $94.9 million in the first six months of 2019. For the six months ended June 30, 2020, adjusted gross profit was 58.8% compared to 57.2% in the first six months 2019. The decrease in the six-month period primarily resulted from a decrease in digital revenue, the new operating with STI, and the sun-setting of our Universal ID product. Adjusted EBITDA in the quarter was $11.5 million compared to $8.7 million in last year's second quarter, and this was largely driven by execution of cost reductions. Adjusted EBITDA margin was 15%, well in the double digits, up from 11.1% in last year's second quarter. And this is our highest EBITDA margin since Q4 of 2018. Turning to the balance sheet and cash flow statement, liquidity at the end of the quarter, which is primarily cash and marketable securities, totaled $42.8 million. Note that our $10 million line of credit from Citizens Bank remains fully drawn at the end of the second quarter and is included in this balance. We generated $13 million of cash in the quarter. After the quarter-end, the utilization of the CARES Act provision provided liquidity, which enables – under the provision that enables companies to carry back net operating loss from the tax years of 2018, 2019, and 2020. Accordingly, after quarter-end, in mid-July, we received approximately a $10 million refund in taxes paid in 2016, which further bolstered our liquidity. We feel very good about our liquidity throughout 2020. And, as Glenn discussed, we've taken several actions to conserve cash in-year, and our business plan is calibrated to ensure there was sufficient liquidity throughout the year. Refinancing our preferred stock and positioning the company with a cost-effective permanent capital structure is a top priority for Synchronoss. We're actively evaluating financing alternatives and we believe it is essential that we are positioned to move quickly when markets move our way. In connection with that objective, we expect to file a universal shelf in conjunction with our 10-Q later this month, which enables us to quickly access public markets when it is prudent. The shelf filing will not mean financing is at all imminent, but rather repositioning ourselves to move quickly at some point in the future. On our last call, we maintained our original adjusted EBITDA guidance of $25 million to $35 million for the year. As I noted earlier, the Verizon renewal removes approximately $10 million of non-cash deferred revenue from the latter half of this year. Under ASC 606 accounting rules, this remaining $10 million of deferred revenue will now be amortized over the new term of the contract. The implied adjusted EBITDA range would be $15 million to $25 million. However, we are narrowing the range of the top half of the range. Accordingly, we are now expecting adjusted EBITDA for the year of $20 million to $25 million. Again, I want to reiterate the only reason for the change in EBITDA guidance is due to the amortization of the $10 million of non-cash deferred revenue over the life of the new contract, instead of over the next two quarters. Before we open Q&A, I want to mention that Joe Crivelli, who has served as our Vice President-Investor Relations since December of 2018, will be leaving the company on August 14. Joe will remain part of the Synchronoss team in a consulting capacity and will assist Leslie Gahagan, who will take over the day-to-day responsibility for Investor Relations as an Investor Relations Analyst. Joe and I have collaborated for quite a long time and I want to thank Joe for his contributions over the past year and a half and wish him well in the future. I will now turn it back over to Glenn.
Glenn Lurie - Synchronoss Technologies, Inc.: Thank you, David. Before we open for questions, I want to recap everything we just discussed with these critical points. First, we are incredibly proud of our team for delivering revenue, adjusted EBITDA, and free cash flow that exceeded internal and external expectations. Our prudent cost-cutting initiatives and execution drove a robust double-digit EBITDA margin. We have demonstrated the strength of our long-term customer relationships with multiple renewals and with the closing of several important new deals. We are obviously very excited about our five-year contract extension with Verizon. This renewal should give each of our (23:56) shareholders comfort about our long-term stability and predictability of our revenue base. If you have not seen this morning's press release related to this announcement, please visit our website for more information. Along with the renewal, we have expanded our relationship with Verizon, which in turn expands access to Verizon customer base. We have secured a joint marketing agreement, and we believe we'll accelerate growth and cloud revenue. At the same time, we are moving to a new stage of deployment with AT&T cloud and we believe that having the cloud embedded in the OOBE device flow, our new Android devices will enable revenue from AT&T to begin to accelerate as well. All of this, along with strong second quarter results, represents good news for the company and our shareholders. With that, I will now open for questions. Leslie, do we have anybody in the queue?
Leslie Gahagan - Synchronoss Technologies, Inc.: Let's go ahead and take off with Sterling Auty. It seems we might have a technical difficulty. I'll just ask the question directly. What is the average contract length of the extension?
Glenn Lurie - Synchronoss Technologies, Inc.: The average of the multiple extensions? I mean, some of the extensions, Sterling, are three years and some are five. And obviously, we were very upfront with Verizon extension being five years. I think on the other extensions, some of our customers are a little shyer and don't want to discuss how long the extensions are, but you should assume between three and five years.
Leslie Gahagan - Synchronoss Technologies, Inc.: Okay. Next question is from Mike Walkley.
Glenn Lurie - Synchronoss Technologies, Inc.: There he is. Hey, Mike, saw you pop up. There you are.
T. Michael Walkley - Canaccord Genuity LLC: Okay. Great. New format for this...
Glenn Lurie - Synchronoss Technologies, Inc.: Yeah. We appreciate you guys' patience. We just think Zoom's kind of the future and so we appreciate you guys working with us. How are you, Mike?
T. Michael Walkley - Canaccord Genuity LLC: I'm doing well. Hope everybody's doing well on the call.
Glenn Lurie - Synchronoss Technologies, Inc.: Thank you.
T. Michael Walkley - Canaccord Genuity LLC: Yeah. So I guess first question for me is just on the strong free cash flow in the quarter with the Verizon renewal. Was there an aspect of upfront cash for that or can you maybe walk through the steps that drove the strong cash flow?
Glenn Lurie - Synchronoss Technologies, Inc.: I'll let David answer that.
David D. Clark - Synchronoss Technologies, Inc.: Yeah.
Glenn Lurie - Synchronoss Technologies, Inc.: Let me say there's no cash from that. No. So, go ahead, David.
David D. Clark - Synchronoss Technologies, Inc.: Yeah. So the Verizon renewal obviously is this quarter and there was no cash in the second quarter. Really, second quarter cash driven by just good liquidity management and obviously stronger EBITDA certainly was expected, both internally and externally.
Glenn Lurie - Synchronoss Technologies, Inc.: Yeah. And I'd add, Mike, that David and team did a fantastic job. Once we made the decisions on the cost-cutting initiatives that we already -as you remember, we already had some cost-cutting going on when we started the year. We obviously added to that with COVID hitting. The team has just executed fantastically and that's what you're seeing.
T. Michael Walkley - Canaccord Genuity LLC: Okay. Great. And I guess while I have the line here, a follow-up question.
Glenn Lurie - Synchronoss Technologies, Inc.: Sure.
T. Michael Walkley - Canaccord Genuity LLC: Just on the strong cost reduction, how should we think about operating expenses levels going forward? Is it more cost coming out of the model? If so, where's – is it coming out of more cost of goods sold or OpEx or just trends we should think about on the cost line?
David D. Clark - Synchronoss Technologies, Inc.: Now, the cost reductions are across the board. Costs will kind of be flat to slightly down for the remainder of the year by quarter is our expectation. We took costs out of business across the board. Obviously, our largest cost components will probably be a little larger because that's where the cost is and that's where we'll take out the majority.
T. Michael Walkley - Canaccord Genuity LLC: Great. And then, Glenn, a follow-up question for you just on kind of the fundamentals in dealing with operators. Can you talk about some of your cloud trends now that smartphones slowly picking up off some of the bottoms maybe earlier in the quarter? And just with the AT&T and the timing, when you think some of these Android deals, you'll start to see like a step-up in subscriber base based on anything that (28:07) you can share over the last couple of months?
Glenn Lurie - Synchronoss Technologies, Inc.: Yeah. Actually appreciate that. Couple things to think about in this environment that we're living in, you're absolutely right, the carriers obviously had closed doors. Carriers have announced that they're not even going to reopen some of the stores. The good thing is we're still seeing strong results. As we said, we're ahead of plan with our largest customer. One of the reasons is, is that actually these enhancements that we've been working with them on have obviously led to very decent gross adds, but we've also seen the churn drop way down with these customers. So, we are actually in a good spot with the majority of our customers as far as how they've executed working with us. And as I said in my comments, we have marketing work we're doing, which we are hoping to increase in the second half of the year, not just with Verizon, but with all. And then when you asked about AT&T, yes, we were very candid as we would plan to always be that some things got pushed back based on COVID. But you saw AT&T make announcements around their devices and did some very exciting announcements that they're going to focus on cloud in those Android devices. So we expect to start seeing that pick up immediately here in the third quarter. I think the opportunity, though, Mike, is there. I mean the carriers are looking for opportunities to grow revenue. This is a fantastic opportunity that they see and understand. I'm very, very optimistic that we can continue that trend for the remainder of the year and to 2021.
T. Michael Walkley - Canaccord Genuity LLC: Last question and then I'll pass on the Zoom call here. Just, Glenn, overall, it sounds like IoT, maybe some digital, some things got pushed out because it's just tougher to engage with customers face-to-face. Can you about any deals that's been lost or for existing maybe pushed out a little bit or just kind of how your remote sales is interacting in this tough environment?
Glenn Lurie - Synchronoss Technologies, Inc.: Yeah. I'd tell you this. First of all, we haven't lost anything. The environment is as we all know. You've got to work twice as hard to get it done and we are doing that. Digital actually is performing very well. I hope from my comments, you didn't take that away, but digital business is doing well. Most people, when they hear us talk about digital think about DXP, but we have a host of products in our digital platform as I said. And we've cut numerous deals during the quarter that were very, very exciting for us and whether on a financial and analytics side or the spatial side, as well as the continued work. I would tell you, Mike, that this environment, the future is all about digital. The future is all about touchless experiences. The future is and every company that we do business with is looking at how they're going to make it work in the new normal. And we have a lot of opportunity in our digital business to continue to grow it. On the IoT side, without question, we've done well. But the future of IoT is not just a smart building; it's a healthy building. And we have a SaaS platform that's extensible and flexible with machine learning and analytics attached. And candidly, a lot of people are coming to us now on the IoT side to talk about how not only can they make their building smart, but how can they make it healthy and know real time that it's healthy. The other thing that we're talking about is real-time remediation of pathogens in a building. And I would just say there's not going to be a building, a venue, a restaurant, that, as we go forward, people aren't going to want to know it's safe. And we believe we have a platform that can help do that, so we're – I'm – my enthusiasm around IoT has actually gone up. And I think we've got work to do, but so do others, and I think we've got a very competitive platform and product to offer.
T. Michael Walkley - Canaccord Genuity LLC: Thanks for taking my questions and congrats on the strong margins.
Glenn Lurie - Synchronoss Technologies, Inc.: Thanks, Mike.
Operator: Okay. Our next question will come from Mike Latimore with Northland.
Michael Latimore - Northland Securities, Inc.: Hi there, you all.
Glenn Lurie - Synchronoss Technologies, Inc.: Hey, Mike.
Michael Latimore - Northland Securities, Inc.: Hi there. Good morning. Good to see you, guys. So I guess on the Verizon deal, that was great. Congratulations on that and also the quarter, obviously. A lot of times, these big deals, they get renewed a month or two before they're kind of set to expire. You guys renewed this fairly early here.
Glenn Lurie - Synchronoss Technologies, Inc.: Yeah.
Michael Latimore - Northland Securities, Inc.: Can you just talk through what was the catalyst to do this kind of early renewal?
Glenn Lurie - Synchronoss Technologies, Inc.: Sure. I mean, I think couple of things. One, the success that we've been having for a long time with them and I would point out (32:54) the relationship as well. This is a very important product for Verizon. It is for us, obviously, with them as our largest customer. But as carriers – not speaking outside of Verizon – as carriers look to how they're going to find incremental revenue and the dollars that they're all spending on 5G, massive amounts and billions of CapEx, we're going to continue to look for these opportunities. Verizon obviously has been a customer of ours for many years. We sat down with them and talked about the future and it just made sense for us to relook at the whole agreement. You also heard me talk about the fact that we now have a joint marketing agreement for the first time, which is really exciting for us because majority of the success we've had with them has been in that startup flow that we talk about for new and upgrades and we've done great, but my push and ask is that we have so much more opportunity to go back to their base, which obviously we are now going to do and do it together. The second piece of this is that the other initiatives that I mentioned. Obviously, we're excited about those and having conversations about where we want to take this platform. And by the way, we do this with all of our customers, right? Our customers have a beautiful Personal Cloud Platform that they may, obviously, want to have advantages. And so that's how we work with our customers individually. And so the opportunity on both sides, we're really wanting to elongate the agreement. Timing was not about when our first agreement ends; it's about where do we want to go in the future. And that's really was the catalyst.
Michael Latimore - Northland Securities, Inc.: Great. Great. And then just from a rev rec standpoint, I know you talked about $5 million a quarter roughly this year. How should we think about the influence next year from this – on rev rec?
David D. Clark - Synchronoss Technologies, Inc.: So that was specifically the deferred revenue. We had deferred revenue that we've been recognizing over the past couple of years that would have basically been amortized out by the end of this year. As a result of the renewal, it gets extended for the remaining contract or the new contract life, I should say. So our deferred revenue runoff from this contract, in particular, will be under $1 million for each quarter going forward. So that's the change. There would have been $5 million recognized in each of the next two quarters. We're not going to recognize that. It's going to be pushed out.
Glenn Lurie - Synchronoss Technologies, Inc.: Yeah. Mike, really important obviously I'll repeat and David said it numerous times. This is a non-cash (35:21), right?
David D. Clark - Synchronoss Technologies, Inc.: Right.
Glenn Lurie - Synchronoss Technologies, Inc.: So not impacting our cash. I do think David's comments are important for folks to note. This should really simplify how you all look at us from an EBITDA perspective as well. And then I think really important, as David said, going out, it's negligible when you think about the total amounts and where it's going to be. So, cleaned up a lot as well at the same time.
Michael Latimore - Northland Securities, Inc.: Great. Makes sense. So then, Glenn, did you say that going forward, pretty much every new Android subscriber at AT&T will go through the OOBE process? Is that exiting this quarter (35:55)?
Glenn Lurie - Synchronoss Technologies, Inc.: Yeah. Not every. Obviously, it's by device. And you actually wrote a nice note about the devices that were coming out. We will see more of those devices coming out and that will continue to move up based upon their new device launches. So, yeah, we're starting to see that flow and we're excited about it.
Michael Latimore - Northland Securities, Inc.: Great. And just last one. On CCMI, you mentioned some additional business there. What does that relates to and then when do you expect kind of the – maybe the first official service lines there?
Glenn Lurie - Synchronoss Technologies, Inc.: Yeah. Well, as you know, Mike, and I appreciate the question, we can't answer and speak for CCMI. They've said 2020 and we'll leave it at that as far as the launch. As far as other business, yeah, we are working with them hand in hand. They are picking and looking at their strategies and in situations have asked for help with other things, which is what those agreements are. And that's really all I can say at this point in time.
Michael Latimore - Northland Securities, Inc.: Okay. Thanks. Good luck.
Glenn Lurie - Synchronoss Technologies, Inc.: Thank you.
Leslie Gahagan - Synchronoss Technologies, Inc.: And with that, that concludes all of our questions.
Glenn Lurie - Synchronoss Technologies, Inc.: Okay.
Leslie Gahagan - Synchronoss Technologies, Inc.: All right, and that concludes the call.
Glenn Lurie - Synchronoss Technologies, Inc.: If I can, Leslie, one last thing, I just want to thank everybody again for coming on the call this morning. I'm very proud of the Synchronoss team. Very proud of the results that we were able to deliver during the environment that we are in. The team has been incredibly prudent about its execution, taking care of our customers. I want to again thank Pat, our CTO, and Jeff, our Chief Commercial Officer, for the results that they and their teams have driven. And we are looking forward to the second half of the year. Thank you guys very much.
David D. Clark - Synchronoss Technologies, Inc.: Hey, Glenn.
Glenn Lurie - Synchronoss Technologies, Inc.: Yeah.
David D. Clark - Synchronoss Technologies, Inc.: Real quick. Rich Baldry asked a question about – he want to know about pipeline changes from any of the global carrier prospects.
Glenn Lurie - Synchronoss Technologies, Inc.: Oh. Great. Hey, Rich. Thank you. So far, as far as pipeline changes, really not a lot of pipeline changes. Obviously, as I said earlier, we've not lost business. We had obviously – things are going to take a bit more time. I would say our pipeline is still strong and growing. We are candidly having to be and change the way we think about how you drive pipeline. We've seen our industry events be canceled. We expect that going into 2021, the CESs of the world, the Mobile World Congresses of the world are going to have a hard time putting those events. And obviously, CES already announced it's going to be a digital event. So we're looking at other ways and actually executing other ways to continue to have conversations with our carrier partners, with new carrier partners looking at channels of distribution. So all of those things are in play, but right now, I'd say we feel good about where our funnels are.
David D. Clark - Synchronoss Technologies, Inc.: Glenn, Sterling has one more question.
Glenn Lurie - Synchronoss Technologies, Inc.: Sure.
David D. Clark - Synchronoss Technologies, Inc.: He's not coming on.
Glenn Lurie - Synchronoss Technologies, Inc.: Okay. We can follow up with Sterling...
David D. Clark - Synchronoss Technologies, Inc.: Then we'll follow up with Sterling.
Glenn Lurie - Synchronoss Technologies, Inc.: ...next day or so.
Glenn Lurie - Synchronoss Technologies, Inc.: Again, folks, appreciate the new technology. We are – I think Zoom is great and we're going to continue to work with this. But thank you all very much for joining and look forward to speaking with many of you over the next couple of days.
Operator: Goodbye.